Operator: Good morning. We welcome you to the EDP First Quarter 2025 Results Presentation Conference Call. [Operator Instructions] I now hand the conference over to Mr. Miguel Viana, Head of IR and ESG. Please go ahead, sir.
Miguel Viana: Good morning, ladies and gentlemen. Thanks for attending EDP's First Quarter 2025 Results Conference Call. We have today with us our CEO, Miguel Stilwell de Andrade; and our CFO, Rui Teixeira, which will present to you the main highlights of our strategy execution and the first quarter 2025 financial performance. We'll then move to the Q&A session in which we'll be taking your questions both by phone or written questions that you can insert from now onwards at our webcast platform. I'll give now the floor to our CEO, Miguel Stilwell de Andrade.
Miguel Stilwell de Andrade: Thank you, Miguel, and hello, everyone. Thank you for attending our first quarter results conference call. So I'd like to start for those of you that weren't able to listen to yesterday's call from EDP Renewables, to start with a brief remark on the unprecedented blackout of last week in Iberia. I think the first thing to note is while it's yet to be fully explained and we don't know the root cause, it's really important to recognize how both countries were able to fully restore power and safety to the population. And I want in particular to thank the people at EDP and E, the distribution company in both Portugal and Spain for all the hard work and the dedication and sort of all the hours they put in to get this -- the power back online. So I think great work done by the team. On the other hand, I think the event also really underlines the need for continued investment in the grid infrastructure and interconnections. In particular, interconnections between Spain and France. It's been clear for many, many, many years that this is absolutely critical, and it would have certainly helped also in this context. But also the need for investments in energy storage and also complementary solutions for example, the ancillary services. So together with renewables, I think these are the elements that are key to ensure an electricity system that provides clean, reliable and affordable energy to all. So I think that's just the note I'd like to make on last week's blackout event. Now turning to this quarter's results. I think if we go to Slide 3, and just starting with a quick recap on the first quarter numbers. EBITDA increased 6% year-on-year, so it reaches €1.4 billion in the first quarter. This is clearly a very good quarter, particularly for the integrated generation and supply business in Iberia. We had a lot of rain. We had higher power prices certainly versus last year, and we also benefited from a strong demand for flexible generation and ancillary services. So that was good. On the electricity network side, we also saw a good resilient performance. It actually increased 7% if we exclude the asset rotation gains and FX from last year. Bear in mind that last year, we recorded €134 million in asset rotation gains split between the transmission and EDPR transactions. And this year, we're not recording any gain and yet we had this underlying growth. Wind and solar underlying performance was also up 20% year-on-year, excluding gains, as we talked about yesterday, supported by an increase in installed capacity after the record additions executed in the fourth quarter of last year and also improved renewable resources. So overall, net profit increasing 19% year-on-year, reaching €439 million and reflecting this very strong top line performance. If you go to Slide 4, and I think this is a particularly interesting slide because it shows there was a quarter with really strong hydro resources, 42% above average, so even better when compared to last year's resources, which were already 38% above average. However, hydro generation decreased year-on-year since the strong rainfall was crucial to strengthening the reservoir levels. So we took the advantage to really fill up the reservoirs. They're at 60% at the beginning of the year. They're now at -- well, versus 80% in early 2024. So if you look at the left-hand side graph, you can see that the delta on the production year-on-year was mostly stored in the form of reservoirs. So we go into this, let's say, second and third quarter with strong reservoir levels. Despite being lower year-on-year, hydro generation was still above average, so about 0.5 terawatt hour above average. And those uncontracted volumes were sold at much higher prices when compared to the first quarter of 2024. So the electricity pool price in Iberia was almost double the first quarter of last year of 2024, and it was €85 per megawatt hour in the first quarter of this year. So all in all, reservoir levels are standing at roughly 93% in early May. So maximum highs over the last 10 years. April was also a very good month in terms of hydro resources, so 52% above average, which leaves us confident for the remaining part of the year. Obviously, the fourth quarter is also an important quarter for us. And so we'll have to see how that goes in relation to hydro. If we move on to Slide 5. So five, I think what we wanted to talk about on the slide was really stress the value of our flexible generation fleet. We can definitely extract additional value from price volatility in the market, and this is key to complementing intermittent technologies. We're seeing a clear trend of more value being attributed to this type of assets. So if you look at the final price of electricity in Spain, you can see that the component of it that's attributable to ancillary services and restrictions is constantly increasing. And this is due to a combination of factors. On one hand, increasing electrification, so grid management complexity, higher penetration of intervening resources. And so all this increases the demand for balancing services that can be provided by flexible generation assets, hydro, gas those are really the key assets for us obviously pumping. On the other side this higher penetration of renewals leads to expanded intraday spreads. You can see that on the right hand of the slide, which leads also to improved hydro premiums. And so talking about EDP's figures, hydro pump spreads as a percentage of baseload prices stood at more than 50% in the first quarter of 2025 and are showing a clear growth trend when compared to past years as a result of this new market profile, which we expect will continue to be like this going forward and even to -- so it's more of a structural issue. If we move on to slide 6. So looking for -- at the overall integrated business. This improved market context together with the first, a good first quarter in April as well means that we are updating the guidance for this segment in 2025. So previously we pointed to an integrated Iberia EBITDA of around €1 billion to €1.1 billion. We're now targeting €1.1 billion to €1.2 billion. Most of that has already been locked in. So we have about €0.5 billion of EBITDA already recorded this quarter. 0.4 margin locked in already for the remainder of the year. That leaves us with 0.3 still not locked in. We expect that to come mostly from flexible generation, hydro pump storage, gas these have lower risk, namely hydro as I say has very healthy reservoirs as of May. So key drivers for this guidance are strong first quarter and also a good number for April. Reservoir levels at 93% in early May, high weight of locked-in margin assuming normalized volumes, positive prospects for flexible generation is increasing demand for flexibility services, and also obviously a very resilient client base that provides stability and that continues to show us an increase on services penetration. So positive outlook for this integrated business. Talk about networks. So on slide 7. As you know by the end of 2024, we proposed a 50% increase in investments for the next regulatory period 2026 to 2030 in the medium and high voltage of electricity networks in Portugal. There's typically a multi-annual investment program that we have to present every couple of years. We did that with this proposed 50% increase. This proposal has now received a favorable opinion by the regulator. This is the first ever regulatory opinion without any cuts proposed. So I think there's a general consensus in the sector that there is a need for additional investment in the networks. And I think it's -- this is obviously good news or the investment in our networks business. And I think we all recognize that it's absolutely critical for ensuring the energy transition. I'd also like to highlight here that according to the regulator the impact on tariffs is immaterial. We're talking about 0.7 accumulated increase in the 2030 tariffs versus 2025 in nominal terms. So it's not -- this is not a CAGR. This is accumulated increase of 0.7, which is absolutely immaterial in the context of the cost of the systems. And we want to invest in several fronts in the networks. Around 45% of the investment in our plan will be allocated to modernization of the grid, around 15% to digitalization and around 20% to electrification and decarbonization. Finally in this topic has grown in importance over the last two weeks, 20% of the investment will be allocated to making our networks more reliable and ensuring a continuous robust service as the renewal penetration in the grid grows. I think it's consensual in the system in the sector that we need to ensure adequate returns for the electricity networks to support these higher investments and to enhance the assets modernization. On the right-hand side of the slide, just a quick wrap-up of the key regulatory milestones we'll have this year. So we have the new regulatory period starting in 2026 as I mentioned. We will be expecting to get a proposal from the regulator on the 15th of October in relation. So that's a draft proposal for the next regulatory period. So we have more information than -- and then as you know typically on the December 15th is when we get the final decision from the regulator on the next regulatory period. So two key milestones, 15th of October and then the 15th of December to get first a draft and then the final opinion. So I think we'll be hopefully having public hearings and discussions over the next couple of months. But at least on the investment side the -- we already have a positive regulatory opinion on this. It's still dependent on the government approval. And then we also have to have that discussion around the returns of this additional investment. Talking about networks in Spain. So moving on to slide 8. Here as you know we've been reinforcing the weight of the electricity networks in our portfolio over the last couple of years. So we did the Viesgo acquisition back in late 2020. We basically doubled our networks in Spain. We already had the [indiscernible] networks up in the North and Studios with the Viesgo acquisition mostly networks in Cantabria and also part of the studios. So contiguous networks. We've got a lot of synergies out of that. I think we were able to really show the value that came out of that and deliver on the assumptions that -- are over delivered on the assumptions that were underlying that acquisition. This is an area in the north of Spain, which has quite a good growth potential due to high industrial demand per capita and also increasing renewals generation. However, and this is something that we stressed before, and many other players in the sector, we think that the investment conditions in Spain have room for improvement. The return on RAB is currently 5.6%. And there's no inflation update. On top of that, there's an investment cap of 0.13% of GDP. So, you can't invest -- the sector as a whole can't invest more than 0.13% of GDP. We've seen that the Spanish government acknowledges this and recognizes that this needs to be changed. We believe that the regulator agrees that this is urgent and that the current rate should be increased. The Spanish regulatory period -- there will be a new regulatory period also starting in 2026. The current investment plan for the 2026 to 2028 period is under discussion with the regulator. It was submitted to the regulators on April 30, after a favorable opinion from the regional government. But this plan is still respecting the current investment caps. So, we've also proposed another plan with a significant increase for the 2026 to 2028 period beyond the current cap. So, if there's an increase in the cap, we already have an alternative plan already prepared. By the end of the year, we expect that the regulators should improve the new investment limits. This is our estimate on the deadline -- it could be that we have further visibility either in the second or third quarter of 2025. And regarding the new remuneration framework and regulatory assumptions, we should have a public hearing soon, then the second quarter, and then the regulators should approve this by year-end. So, all-in-all, for this regulatory period, the key message is that improvement of returns is critical to attract private investment in the networks and critical to support the energy transition. So, we'll see how this evolves over the next couple of quarters. Move on to Slide 9 and talk about electricity distribution in Brazil. So, here we continue to see a continuous increase in electricity demand. And, as you know, this is extremely important for the returns for the networks in Brazil. This has been supported by demographics, by economic growth, by electrification trends. The electricity distributed increased 7% in our areas as of the first quarter of 2025. It's after a similar increase in 2024 and an increase of 5% in 2023. So, definitely, this reinforces the need for additional investment in the electricity networks in Brazil. It's worth highlighting that our two distribution companies in Brazil continue to be a reference in the country in terms of quality of service indicators. EDP São Paulo has registered its best historical record in the duration of interruptions in the electricity distribution in 2024. And now, EDP Espírito Santo has also achieved this landmark. So, both of our distribution companies are committed to delivering best quality of service and capitalizing on this market growth. On the right-hand side of the slide, a recap, in terms of the distribution company, so, this is obviously a very important year for EDP Espírito Santo. The new regulatory period starts in August of this year. The regulator has released the regulatory WACC for 2025 at 8.06% versus 7.15% currently. Distribution concession process is ongoing. The regulators recommended that the concession be extended for 30 years, the Ministry on the 29th of April. And we expect that there will be the signature of the new concession contract still in the month of May. And so, Espírito Santo will have this additional 30-year concession. And, as I say, we expect to hopefully announce that in the coming weeks. We move on to Slide 10, just a quick overview on our transmission business in Brazil. So, over the last nine years, we've delivered more than 12 transmission projects, and we've been unlocking value both through operating those lines as well as through asset rotation. We sold six lines since 2021, amounting to around BRL0.7 billion gains and BRL6 billion in asset rotation proceeds, including the asset rotation deal concluded last week on Lot 21. Currently, we hold seven transmission projects; of these, three are under construction the lines that we won in March of 2024 and the investment associated with this is BRL2.6 billion, so around €0.5 billion. The regulator expects this project to enter operation between 2027 and 2028, and we expect to reach double-digit equity IRRs with these projects. On the right-hand side of the slide, regarding our asset base, we expect that to continue growing through the period of 2025 to 2027, reaching BRL6.7 billion in 2027. Regarding wind and solar on Slide 11. So, as I mentioned -- I've mentioned already previously -- two-gigawatts of new capacity to be added in 2025, on track, all projects under construction, around 70% of the targeted additions with expected commissioning by year-end. Just giving you a little bit more color on these additions in terms of geography, the U.S. and Europe representing 80% in terms of technology mix, approximately two-thirds of new capacity coming from solar and storage. Now, I wanted to take an opportunity to talk about supply chain strategy, because this is something that we get a lot of questions on. So, we adjusted our supply chain strategy over the last two or three years since we had an incident back in 2022 and 2023. Since then, we've prioritized the use of domestically manufactured equipment and established partnerships with U.S.-based suppliers, and this allows us to mitigate the risks associated with the import tariffs. For 2025 and 2026 secured capacity, we've already ensured the necessary infrastructure to keep the projects on track. Most of the equipment is already in the U.S. or not subject to tariffs because it's either domestically made or they're specifically exempt. And so, we estimate tariffs will have a limited impact on our revenues -- our secured capacity, totaling less than $25 million or around 1% of these projects' CapEx. I also wanted to just highlight here our multiyear agreement with First Solar. We announced that back in March of 2023 and that ensures access to the U.S. manufacturers solar modules and it gives a lot more visibility and comfort surrounding our project pipeline for 2026 and 2027. On the PPAs, we continue to see strong resilient demand mostly backed by regulated utilities and corporate entities. And on PPA pricing it will likely be adjusted depending on market changes. At the same time the inflation reduction at tax credit framework remains a key pillar for our investment strategy. Even yesterday, we've had several Republican signing a letter defending the maintenance of these tax credits. We have around 1.5 gigawatts of projects secured under safe harbor agreements and we've protected our developments from potential legislative adjustments. So all in all confidence in our efforts the supply chain management that will pay off and that we can continue to grow in the U.S. in a sustainable and value-enhancing way. Just another -- two slides before I pass it over to Rui one talking about efficiency on Slide 12. I wanted to just highlight here that we think this continues to be a key competitive advantage. We've been spending a lot of time focusing on this and this has been reflected also in our numbers. As of the first quarter of 2025 OpEx decreased 2% nominal year-on-year. If you look at the '23 numbers you can see a continuous decrease. So minus 3% versus the first quarter of '23 nominal terms meaning a decrease of 8% versus the first quarter of 2023 in real terms because over this period, we had around 5% of inflation 3% nominal decrease so around 8% real decrease. I think this is really impressive when you think that over this period, we grew our installed capacity by 11%. We grew our distribution network. We grew our transmission business. So -- this is a result of several measures. I mean these efficiencies, we've obviously simplified our corporate structure. We've resized and restructured some of our platforms. We've increased the digitalization and automation as a way to optimize the workflows and resources. And these are having an impact on EDP financials and they will continue to do so in the coming years. So growth and decreasing costs. I think that's a fantastic sort of equation to keep. So tight control over OpEx really prioritizing cash flow generation and shareholder value. And with that that brings me to guidance for the year. I think, we're looking at sort of a strong integrated generation supply business helping us feel very comfortable about our EBITDA at €4.8 billion net profit €1.2 billion and net debt around €16 billion for the end of the year. Let's say structural improvements from the flexible generation activity obviously had a very good first quarter and so a strong start to the year. We have hydro generation above average in the first quarter and in April and sort of high reservoirs in May so we can manage over the next couple of months. Our resilient electricity networks and the underlying business is positively impacted by this growing electricity demand and the inflation update on the revenues. Wind and solar is having an increased contribution from new capacity added in the fourth quarter of last year. But on the other hand we have and are expecting lower asset rotation gains this year versus 2024. On the negative side we are facing weaker dollar in Brazilian real versus the euro. And so putting all of that together means that we are confident in delivering this guidance for 2025. Net debt guidance at €16 billion for the year, we're assuming around €2 billion of asset rotation proceeds mainly from EDPR and also assuming around €1 billion of tax equity proceeds. And then looking forward, we're working on a new strategic update for 2026 onwards. That will take into consideration the new regulatory frameworks or the electricity networks in Spain and Portugal. And hopefully, we'll also have more visibility on the outlook regarding the energy policies in the U.S. So we expect that to have more visibility on the Inflation Reduction Act how that sort of settles down over the next couple of months. And so all of this will feed through into the new strategic update from 2026 onwards. And with that, I pass it over to Rui for the financials. Thank you.
Rui Teixeira: Thank you Miguel, and good morning to you all. So let's move to Slide 15 to start reviewing the financial performance of the first quarter. The recurring EBITDA reached €1.4 billion. That's an increase of 6% year-on-year or 8% if we exclude the ForEx impact in this period. This is basically reflecting the renewables clients and energy management being up by €134 million driven, as Miguel said before by the hydro client and energy management which benefited from higher flex generation also improved power prices in Iberia year-on-year. Also EDPR with an improved underlying performance year-on-year by €33 million up, actually €81 million up if we were to exclude the asset rotation gains that if you recall were €58 million in the first quarter last year. Networks they are down by €72 million, but this reflects the absence of asset rotation gains this year versus €76 million last year. So if we exclude the gains EBITDA from this segment increased €4 million year-on-year following the strong electricity demand across different geographies and the performance across the different geographies. Finally, I would like to highlight the efforts on efficiency in a growth context. OpEx decreasing 2% year-on-year, in nominal terms. So the efficiency measures we have been implementing are already positively impacting the bottom line. If we now go through the segments and we go to Slide 16, just a quick wrap up on the EDPR performance which we have detailed yesterday. So underlying EBITDA went up 20% and improved performance year-on-year and this is on the back of 17% growth in installed capacity, following record additions in the first quarter in the fourth quarter of 2024 improved wind resources versus the first quarter last year with the renewables index at 1% point above the long-term average. And this led to a 10% increase in electricity generation. On the other side, the average selling price decreasing 5% year-on-year to €57 per megawatt hour. This is a combination of lower realized prices in the European portfolio. As we said yesterday, it has to do with the shift in terms of the energy mix with higher weight from regions that have lower prices also lower average hedging prices, but partially offset by higher realized prices in US. All in all, EBITDA increased 5% year-on-year, with the underlying performance being mitigated by no asset rotation gains in the first quarter this year versus the €58 million capital gains that we had in the first quarter 2024. Now, going to the segments of generation and supplies of the integrated margin. So on the Slide 17, a deep dive on the EBITDA. Recurring EBITDA on the segment increased 27% reaching €523 million this quarter. This is really great performance. This is obviously backed by our integrated business in Iberia, where we saw a high demand for flexible generation and backup services. Hydro generation in Iberia was 13% below year-on-year, as we took the opportunity to substantially increase the reservoir levels as Miguel showed before. And obviously, this follows the strong hydro resources in the quarter which were 42% above the average versus -- and actually versus our expectation, we generated an additional 0.5 terawatt hours that were sold at much higher prices versus last year. So if you recall, electricity prices or the spot price increased 90%, so almost doubling versus the first quarter of 2024 to this quarter where the price book was €85 per megawatt hour, while the average price on the market was €85 per megawatt hour. Reservoir levels at 93% as early May and therefore, this gives us confidence for the upcoming quarters. Slide 18. So really solid performance on the network segment, accounting for 30% of total group EBITDA. The EBITDA from this segment excluding gains stood pretty much flat or slightly up year-on-year. So a €6 million increase in Iberia following the increase in electricity distributed so additional 3%. Also the increase in supply points, 1% year-on-year. I think it's worth highlighting here that we continue to see a strong increase of connection requests, related to the energy transition when we for new renewable power to be connected that has increased 25% year-on-year. In Brazil, EBITDA excluding gains relatively stable year-on-year, with a 7% increase in electricity demand being offset by the FX impact in this period. So if you look to the underlying values in Brazilian real, both in distribution and in transmission, they are increasing year-on-year. EBITDA including asset rotations was -- or the capital gains from asset rotation last year was about 15% below and this is obviously after the €76 million gain in the transmission deal that was booked in the first quarter last year. So now moving to Slide 19. Net financial costs in recurring terms increased 8% year-on-year resulting from on one hand cost of debt that increased from 4.7% to 4.9%. And this is reflecting a higher Brazilian real denominated cost of debt. Exclude that Brazilian real debt, cost of debt stays stable at 3.3%. So cost of debt in mostly in euros and US dollars it's stable year-on-year. Also on the other hand, higher average debt versus the first quarter 2024. So this is what combined has this increase of 8% year-on-year on financial costs. On the right-hand side of the slide, average nominal debt by currency shows a decrease of the US dollar- dominated debt in line with our strategy to reduce exposure to this currency. Finally highlighting that at the beginning of this year, we issued €750 million on green bonds with a 3.5% coupon. More recently, we have signed €500 million in loan agreements with EIB to fund renewable energy and redevelopment projects. So I think this shows that we are continuing to actively manage our debt and liquidity needs. On organic cash flow very quickly, it amounted to €0.8 billion in the first quarter 2025 so that's €0.1 billion above the first quarter of 2024 and really translating the EBITDA performance. So a good conversion of operational performance into cash generation. On the right-hand side of the slide, CapEx decreased from €1.1 billion to €0.9 billion with electricity networks weight increasing from 19% to 22% of which 60% is allocated to Iberia 40% is allocated to Brazil. The net debt on Slide 21, as of the first quarter this year stood at €16.1 billion. The main drivers being organic cash flow of €0.8 billion and this partly funding the cash investments that amounting to €1.2 billion mainly from investments in renewable and networks and including €0.3 billion from payments to PP&E suppliers slightly offset slightly offset by €74 million of tax equity proceeds. So as we showed yesterday, there were some proceeds already booked in the first quarter this year from the tax equity in the US. I would also highlight here the share buyback program that we concluded in April this year. It was a program of €100 million, embedding an average price of €2.89 per share ex dividend. So I have to say, I think it was a very successful initiative implying a PE multiple for 2025 of 9.9 times in a dividend yield of 6.9%. Overall, we are maintaining solid credit ratios, namely FFO net debt at 21.3% and remain fully committed to our BBB credit rating. Recurring net profit, €439 million for the first quarter this year, that's a 19% increase versus the first quarter last year at €71 million in absolute terms. Increase in EBITDA, reflecting the strong performs on the operational side, also higher D&A and provisions increasing €34 million on year as a result of our investment path. Increased net financial costs during -- due to the higher average cost of debt and increased cost in Brazilian reals denominated debt. Higher income taxes following higher effective tax rate due to the lower asset rotation gains year-on-year that have a different tax treatment and also higher non-controlling interest. So excluding capital gains, the underlying net profit shows a very strong 69% increase versus the first quarter last year. Again, I think it really is the reflection of the very strong performance of the quarter coming across all the different business lines. In reported terms, net profit increased 21% to €428 million. So with this, I would hand back to Miguel for closing remarks. So thank you.
Miguel Stilwell de Andrade: Thank you, Rui. So just a final couple of comments. I mean five points. First, good solid first quarter numbers supporting strong underlying performance. Net profit up 19% year-on-year, driven, as you saw by the integrated generation supply business in Iberia, improved GDP renewables underlying performance and also resilient electricity networks. Second, this integrated business in Iberia. We have a positive outlook for 2025, strong first quarter and also a good April -- month of April. Reservoir levels at 93% by early May, high weight to locked-in margin positive prospects for flexible generation, increased demand for flexibility services and higher intra-day price volatility. So all of that driving this positive outlook for the integrated business for 2025. And the networks, resilient to electricity networks, significant investment opportunities and positive regulatory outlook for the next period of 2026 and beyond, both in Portugal and in Spain and also the new regulatory period and concession extensions for EDP Espírito Santo in new regulatory period. Espírito Santo and expect concession extension already this month for Espírito. On wind and solar, good visibility on the 2025 additions to 2 gigawatts on time and on budget and all under construction and the supply chain under control and limited exposure to import tariffs in the US. Finally, the overall 2025 outlook, I think we feel comfortable we have good visibility on the underlying performance in the various business segments, reinforcing our integrated utility with a low risk controlled profile. The 2025 guidance for EBITDA is still at €4.8 billion, net profit, €1.2 billion, net debt at €16 billion -- around €16 billion. And finally, as I mentioned earlier, we expect to do the Capital Markets Day in November of 2025, providing a strategic update post 2026. And by then we expect to have already better visibility on the regulatory outlook for the distribution and also on the energy policies, particularly in the US. With that, I'll stop there and turn it over to Q&A. Thank you.
Operator: Thank you. Ladies and gentlemen, the Q&A session starts now. [Operator Instructions]
Miguel Viana: Thank you. So I would ask please to take only two questions by each person. So the first questions come from the line of Peter Löscher from CaixaBank. Peter, please go ahead.
Peter Löscher: Hi. Good morning. Thank you for the presentation, and taking my questions. So my first question is on this structural improvement in flexible generation. So clearly, backup services and pumping spreads are performing very well in the current context. Looking ahead, as we are still short of batteries in Iberia, is there anything that can stop an even stronger demand for balancing services and even higher power price volatility and therefore, higher contribution of these assets in the next few years? And the second question is on the full year 2026 guidance. If you can reiterate at this stage the guidance for next year despite the weaker FX that we have right now will the integrate the portfolio and have we be able to complicit for that. And also how much asset rotation gains should we expect for next year as the effect of the vintages in EDPR portfolio? Thank you.
Miguel Stilwell de Andrade: Peter, thank you. So a great point here on the FlexGen. I think certainly as you say without a significant amount of additional batteries I mean we will expect to continue to see sort of these high spreads between peak off peak. That's just a function of the energy mix that we have currently in Iberian Peninsula then obviously depending on the weather you could have higher volatility in the intraday market. But I'd say that in general we expect that FlexGen will continue to be a strong contributor going forward or it's been increasing over the last couple of years. And we expect that it will stay like that also going forward until we have a significant amount of additional batteries or some structural changes in the market which we're not seeing. On the 2026 guidance, yes, I think we're keeping the same assumptions. We have no reason to change that at this point. We continue to see sort of energy prices which is obviously one of the big drivers still if anything even slightly higher than what we – the guidance we've given when we gave it out last year in 2024. In terms of FX, I mean, FX is pretty volatile. So we're not sort of making any big adjustments for that. We think there are positives and negatives which can offset each other. On the asset rotation gains I don't think we've given out that specific yet. So I would keep it for now just take back overall guidance between the various different pieces and packaging. And then obviously we can provide further information when we come back to the market probably in the Capital Markets Day in November.
Peter Löscher: Okay. Thank you.
Miguel Viana: Thank you, Peter. The next question comes from the line of Javier Garrido from JPMorgan. Javier, please go ahead.
Javier Garrido: Yes. Good morning, everyone. Thanks for taking my question. I will stick to the two. The first one would be, if you can comment on the impact on EDP from the disconnect between the Portuguese and the Spanish power market and the resulting in higher prices in Portugal since the blackout. And the second question obviously is on your 2025 guidance which is still making me scratch my head. Is your €1.2 billion net income guidance for 2025 realistic central case scenario? Or is it a worst-case scenario with the information that you have today? Thank you.
Miguel Stilwell de Andrade: Sure, Javier. So in relation to -- to your first question I mean we don't have an estimate of impact, but I'd probably break it down into -- so there was the actual day which there was no energy during that day. And then there were a couple of days after that when there was basically quite a strong market splitting and no imports from Spain. But we are now back to a situation where there's already a flux of energy going between both countries. So we expect that this is now normalizing. And so overall we're talking about maybe a couple of days with some markets higher than normal market splitting but we don't expect that at least based on the information that we have would have any material impact. In relation to the 2025 guidance what I can say is it's our best estimate as of today. And so we're comfortable with that number or we feel even more comfortable than we did before. But there's obviously still several months ahead of us. And so that's -- we think it's a realistic number. And if we -- if later down the road we see reasons to change it or to update it. Obviously you guys will be the first to know. But as of today it's a realistic outlook.
Miguel Viana: Thank you, Javier. So the next question comes from the line of Alberto Gandolfi from Goldman Sachs. Alberto, please go ahead.
Alberto Gandolfi: Good morning and thank you for taking my two questions. Actually similar topics. I mean your net income before asset rotation gains is already 40% of your guidance so -- for 2025. So with high levels of reservoir can I ask you what concerns you that prevented you from upgrading guidance for 2025? What visibility do you have on ancillary services? I mean you talked about €1.1 billion, €1.2 billion, but I suspect ancillary services are not hedged right? They depend on the volatility in the market. So do you worry that there's going to be a bit of a contraction in ancillary services? Or do you think those will be stable as well? Because otherwise myself also try to understand why not upgrading I should say guidance right now. The second question is on Spanish allowed returns. I'm not asking you to comment on press reports or media, but for me to understand the way you're thinking about it if really returns were to come out at a 6.5% nominal say without any extra add-ons would you still upgrade CapEx in Spain? Or would money be better allocated in renewables at EDPR. So should we see CapEx go back up or maybe EDPR could be a share buyback potentially. So what will be the best use of capital if returns in Spain don't go to where the industry seems to have been asking. And I leave it there. You still can't ask about any EDPR buyout this time. Thank you.
Miguel Stilwell de Andrade: Okay. Thank you, Alberto. So, well just in relation to your second question I think quite simply I mean we've seen speculation about -- or our speculation on our reports about 6.5%. I think what the sector has been asking for 7.5% and 6.5% seems low if you want to attract private investment, which we think is obviously very necessary in Iberia and Peninsula. Obviously, it's not just about the returns. It's also about other regulatory assumptions. And so we have to see all the framework before taking a decision on whether we increase investment or not. But what I'd say is we would certainly hope and expect and I think it's desirable for the system as a whole. I mean that -- you have higher than the 6.5%. On the net income. Listen I think a couple of things. So, first, we obviously, had good gas margins and events last year, which are not -- we're not expecting this year again I mean including sort of things like the Naturgy and stuff like that which were not recurring versus last year. Also we had hedged this year at 70 versus around 90 last year. So, also for the rest of the year that's -- we're looking at sort of these lower hedge numbers than we had versus last year. Also in terms of market prices for example in April they were steadily lower. So we had a very first high -- good first quarter with the sort of €85 per megawatt hour but April come down. So we're also being prudent there in terms of power prices over the next couple of months. Ancillary Services, I think we're assuming it's pretty much stable going forward. I mean the combination of all of these things make us feel comfortable with the guidance. And as I say if we have reason to then upgraded at any point. Obviously, would let you know. But as of today, we would certainly reiterate our existing guidance of the 4.8 and the 1.2.
Alberto Gandolfi: Very clear. Thank you.
Miguel Stilwell de Andrade: Thank you.
Miguel Viana: Thank you, Alberto. Next question comes from the line of Olly Jeffery from Deutsche Bank. Please go ahead.
Olly Jeffery: Thanks. Just coming back to flex generation. If I remember correctly in 2023, pump storage did €50 million and this year that we said maybe around €100 million maybe you could comment on that. But the rest of storage mean that might imply €200 million. I'm just interested to see how the -- for the flex generation ex-pump storage how that's changed from last year to this year? And then kind of medium term so the hydro Iberia and supply business previously you've guided medium term for around €900 million to that business. Given the structural changes we're potentially starting to see, do you see that number now being a bit higher given the desire to have more firm power and for ancillary services? Thank you very much.
Rui Teixeira: Olly, it's Rui here. Do you mind repeating the question because I have to say I was a bit lost? Can you repeat sorry?
Olly Jeffery: So, I was just asking about the flex EBITDA number this year where you see there's about €300 million. I'm just trying to understand for how much of that is pump storage and how much that €300 million is DCT and the rest of your kind of ancillary services? I'm just trying to understand how the rest of that has grown from last year. So have you seen -- how much have you seen the ciliary services benefit increased this year versus last year how much of that contributed in higher EBITDA? And then the other question was just medium term I think you guided to Hydro Iberia being around €900 million on a normalized basis. And just given the structural changes we're now start to potentially see around ancillary services and a greater desire for firm power in Spain do you see that €900 million figure medium term being higher?
Rui Teixeira: Okay. Got it. Thank you very much. So, again, on ancillary services and flex generation it's hard to say how much. But yes, we are expecting it to slightly go up. So -- and as Miguel was saying I mean -- we see it as an outcome of what is happening structurally in the sense of what is the current market metrics and that's how -- why we see that upside. So, then we can follow up off-line if we can help you do the sort of splitting between what is a CCGT versus other elements of the ancillary services? And on the -- and you're right and what basically we said was that cruise speed. This segment of the business should be around €0.9 billion. I think back in February we also stated that this could be around €0.91 billion actually exactly because of what we see of the contribution from this -- from the hydro pumping spreads versus the base oil prices the contribution of different ancillary services. So, yes, I think that we are looking to that segment more towards the €1 billion as opposed to the €0.9 million. But we can follow up offline on the other topics.
Olly Jeffery: Thanks very much.
Miguel Viana: Thank you, Olly. The next question comes from the line of Jorge Guimarães from JB Capital. Jorge please go ahead.
Jorge Guimarães: Good morning. I have two questions. So the first one is related to the potential of setting the thermal plants in Portugal with so-called Black Start, what type of remuneration could you get from the regulator if any, if you were to fit more plants with this type of facility? And the second one is related with your outlook for the distribution in Portugal. If you can give us not getting in advance of the Capital Markets Day on November but -- if you could give us some idea about what would be the impact in the gross margin of distribution in Portugal from the CapEx plan you presented to the regulator? Thank you very much.
Miguel Stilwell de Andrade: Thank you, Jorge. So in relation to the black start, so as you know currently there are two power plants in Portugal that have this ability, which is Castelo de Bode, one of our hydro plants in Abrantes [ph] which is a thermal plant located up in the North which is not ours. It's already been announced by the government that there would be two additional power plants. So, Alqueva Hydro and [indiscernible] Hydro as well, which would also be fitted out with the black start. I'd say that the remuneration, I don't have exact numbers but it's low-single-digits. I mean we're a single-digit numbers. We're not talking about material remuneration for this service. On the impact on gross margin, I don't have the exact detail and so I'd leave that for later. But obviously, I mean what we've said in the past is that this increased investment over the next couple of years would lead to mid-single-digit growth in RAB and sort of over that period. And so then you can probably back out what that means in terms of increasing gross margin. Thank you.
Jorge Guimarães: Thank you.
Miguel Viana: Thank you, Jorge. The next question comes from the line of Arthur Sitbon. Arthur, please go ahead.
Arthur Sitbon: Hello. Thank you for taking my question. The first one is on international networks, so Brazil and Iberia. I think on the last conference call you had talked about €1.6 billion of EBITDA network in 2026. I was wondering if you would expect any improvement from that given the regulatory review in Brazil that you talked about in the presentation as well as the regulator opinion on the investment plan for coming years and maybe your updated expectations on the two regulatory reviews in Iberia. So that would be the first question. The first one is just ahead of the CMD in November and I'm conscious that you probably can't say much at this stage. I was wondering how you think about financial leverage basically would the goal for you to have delevered significantly by November in order to have a less conservative business plan on capital deployment whether it be focused on growth investment or cash distribution. And I was wondering, actually if maybe one of the reason why the guidance for 2025 doesn't increase is that maybe you assume some dilution from disposal? Or is the idea to delever gradually during the business plan and have an approach more focused on discipline on capital deployment really at the core of the new plant. Thank you very much.
Miguel Stilwell de Andrade: Thank you, Arthur. So in relation to the first one, the guidance that we gave regarding networks, it already includes some assumptions regarding sort of increased investment and return. So obviously, we're already even though we don't have the numbers or even a draft proposal but we already had certain assumptions built into that guidance number. And then obviously, what we'll have is confirmation and sort of the final numbers and so we'll be able to then give a more precise value. But we already had a certain amount of assumptions in terms of increased investment and returns in that. In relation to the second question, I mean as you know so -- and as both Rui and I have mentioned many times our commitment is to the BBB and making sure that we maintain that at all times. And then what we do is essentially try to triangulate between growth, balance sheet and dividends. And so that's the balance that we'll be doing for the Capital Markets Day. So we're not trying to preempt or do an additional acceleration above and beyond what would be necessary to keep the BBB for the Capital Markets Day. We're just trying to make sure that we are able to keep this balance between these three points. And hopefully, we'll give them more detail in the Capital Markets Day about what our growth rate is, what our dividend policy will be and also what we expect in terms of ratios and balance sheet for the coming years. But don't read anything into the dilution disposals. I think the only thing maybe which I didn't mention on a previous question, I think from Alberto's, don't forget that we've also -- we increased slightly our guidance for this year on the integrated margin and we decreased it slightly on the EDPR side because of lower capital gains assumptions, okay? But that's really the only thing you should take into account.
Arthur Sitbon: Okay. Thank you.
Miguel Stilwell de Andrade: Thank you.
Miguel Viana: Thank you, Arthur. Next question from the line of Gonzalo Bordona from UBS. Gonzalo, please go ahead.
Gonzalo Bordona: Hi, thank you. Thank you for the presentation. My side just one follow-up on Alberto's question, ask about the potential bit, but a broader question also included this topic. I mean we get from time to time rumors about potential approaches from you or to you with different options alternatives you probably see in them all. I was wondering, what would be your view on any sort of like big M&A corporate transformation so basically whether that message as trains in any way and that obviously includes any potential change in the structure on the corporate structure within EDP and EDPR. Thank you.
Miguel Stilwell de Andrade: Thank you, Gonzalo. I'll give the same answer which I've given many times before. I mean -- so in relation to the structure, we're very comfortable with the current structure. And in terms of big M&A, what we're really focused on is management is on delivering value. And as I showed, it's growing the company. It's being more efficient decreasing costs. It's anticipating the dividends as we did this year are making sure we're able to sort of have a good shareholder return policy whether it's dividends and share buybacks. That's our key focus. That's what we are really working on. And I certainly wouldn't want to speculate on anything else apart from that.
Gonzalo Bordona: Thank you.
Miguel Viana: Thank you, Gonzalo. So next question is from the line of Jorge Alonso from Bernstein. Jorge, please go ahead.
Jorge Alonso: Hi, good morning and thank you very much for taking the questions. My questions are about the energy hedges especially in Iberia if you can provide some more color about for the hydro wind solar, what are the levels of '25, '26 you have had something for '27. And the other one would be related to the CapEx in renewables especially in solar outside the US if you expect the CapEx to come down materially. And if that could boost the profitability of some of your projects if you are already with some of the procurement open at this stage. Thank you very much.
Rui Teixeira: Hi, Jorge. It's Rui here. So, in what concerns hedges for this year as we said already we are at around €70 per megawatt hour. If we look into 2026, we have already some hedges done at this around €63 per mega hour. So that's for about -- I mean nearly four terawatt hours. So I would say good pricing above what you currently see as forward curves in the market. In the CapEx in US -- I'm sorry do you mind repeating the question because I'm not sure if I followed.
Jorge Alonso: Yes. If due to what is happening with the tariffs in the US, do you think that the solar CapEx outside the US simply because of the oversupply of the Chinese suppliers can be low and these can create an opportunity for some projects in which the procurement is still open. So the PPA closed, but CapEx coming down and then and it creates an opportunity for increasing IRRs.
Rui Teixeira: Yes. Okay. Got it. Thank you. So maybe sorry I mean what we have seen is that solar module pricing is at minimum levels versus last year's. So at some point, I think it's hard to consider that it can continue to go down and as you see some of the solar manufacturers, their numbers aren't looking great. Then if you look to the other components on the CapEx, I would say, it's hard to think about compressing the labor, so my point being that we are not expecting any major shift in terms of downward or reduction on the CapEx. Again this will vary region by region. But -- so first of all we are not counting on that secondly. So when we are negotiating the PPAs or bidding for CFDs, we will take what is the -- at the moment of how we are going to lock in the CapEx so that we don't open the position in a sense that we would be committing to the power sale without locking in the CapEx. So to some extent ultimately that start -- if there was any shift in the pricing on the CapEx side, it starts getting reflected on the PPA prices as well, but targeting always our spread 150 basis point spread to WACC. So, I would say that at least we are not seeing a major contraction on the market in terms of the CapEx.
Miguel Viana: So we don't have any more questions from line reaching the one hour that we're supposed to take the call. So I'll pass to our CEO for final remarks.
Miguel Stilwell de Andrade: Thank you, Miguel. So just final remarks. I mean obviously, some denial that this is a good start to the year the first quarter. And in April, I think also a good positive outlook on Iberia integrated business, positive outlook on networks expecting to do less in terms of asset rotation gains as we talked about yesterday for 2025. But overall, I think feeling good about the business, reiterating our guidance for the year and feeling comfortable with that. And I think the key message is that obviously we're going providing additional information over the next couple of quarters, but we expect to be back in November with a more detailed analysis of the business and the outlook for the next couple of years. So in November, we would give that sort of strategic update post 2026, but obviously with additional information '25, '26 and beyond. And with that, thank you very much and look forward to talking to you again soon.